Operator: Good afternoon, ladies and gentlemen, and welcome to Q3 2020 H&R Block Earnings Conference Call. [Operator Instructions].  I would now like to turn the conference over to your host, Mr. Colby Brown, Vice President of Finance and Investor Relations. Sir, the floor is yours.
Colby Brown: Thank you, Anne. Good afternoon, everyone, and thank you for joining us to discuss our fiscal 2020 third quarter results. On the call today are Jeff Jones, our President and CEO; and Tony Bowen, our CFO. We posted today's press release on the Investor Relations website at hrblock.com. Also on the website, you will find a link for the webcast containing today's presentation, which will be posted after this call. Some of the figures that we'll discuss today are presented on a non-GAAP basis. We've reconciled the comparable GAAP and non-GAAP figures in the schedules attached to our press release. Before we begin our prepared remarks, I'll remind everyone that this call will include forward-looking statements as defined under the securities laws. Such statements are based on current information and management's expectations as of this date and are not guarantees of future performance. Forward-looking statements involve certain risks, uncertainties and assumptions that are difficult to predict. As such, our actual outcomes and results could differ materially. You can learn more about these risks in our Form 10-K for fiscal 2019, and our other SEC filings. H&R Block undertakes no obligation to publicly update these risk factors or forward-looking statements. At the conclusion of our prepared remarks, we'll have a Q&A session. [Operator Instructions]. With that, I'll now turn the call over to Jeff.
Jeffrey Jones: Thank you, Colby. Good afternoon, everyone, and thanks for joining us. When we talked with you last quarter, we outlined our strategic objectives to digitally enable every aspect of our business to deliver our expertise to consumers in new and exciting ways, and we're seeing some positive results. We're focused on serving Assisted clients with higher quality and better value, and are on track to achieve our goal of holding share in the category. We are seeing stronger demand for our virtual product, Tax Pro Go. We continue to grow clients in DIY. Client satisfaction scores are up across all products, following a year in which we saw unprecedented growth. And we continue to make strides in small business, including another strong quarter from Wave. While pleased with these early results, we identified a couple of areas to improve DIY performance in the second half that I will comment on later. We have a lot to cover on today's call. First, I'll provide our perspective on what we've seen in the tax industry, then I'll review our tax season-to-date results, discuss our expectations for the second half of the season and provide an update on small business. Finally, Tony will review our third quarter results and offer additional thoughts on our financial outlook for the fiscal year. Starting with the industry. Overall trends in filings are consistent with our expectations. At this point, the increase in DIY mix is at levels lower than last year. So while there was speculation by some that the second year of the new tax law would cause more Assisted filers to switch to DIY, we aren't seeing any evidence of this in either our data or the industries, and the change has actually moderated. Turning to our performance. I'd like to spend some time providing an update on our progress in each of the key areas we outlined last quarter. Starting with Assisted. We are focused on leading the industry with upfront, transparent pricing, enhancing our standard operating procedures and digitizing how tax pros serve clients through work center. In pricing, we're bringing upfront and transparent to life in an even stronger way this year through a new price estimator tool to help our tax pros provide clients a better estimate at the outset. Upfront transparent pricing is a key element of our recently-launched No Surprise Guarantee, which also provides 3 audit assistance and a midyear tax check-in for clients across all of our products. We've also improved work center, which digitizes how our tax pros serve and communicate with clients, providing them with a superior experience. We're seeing results from these efforts with higher retention for both new and prior clients as well as better conversion. Client survey scores increased 3 points for price for value and 2 points for overall quality. Considering the 9-point improvement in these scores last season, these results are tremendous. This has led to a significant improvement in client trajectory compared to this time last year. With a lot of season left, we're confident that we will achieve our goal of holding share in the Assisted category. Turning to Virtual. Tax season '20 marks the second year of Tax Pro Go, an innovative product that provides clients with access to the unparalleled expertise of our tax pros from the convenience of their mobile device. This year, we redesigned the client experience to improve the product flow, simplified pricing and made it easier to connect with our expert tax pros. We're also highlighting the advantages of this product in our marketing, which is driving an increase in Tax Pro Go demand and mobile usage. We're seeing the results of these efforts with improvements in key client service metrics and strong client growth. And while we're still in the early stages of this product, this continued growth gives us confidence that we can satisfy unmet needs and attract new clients to our brand. In DIY, we've maintained our challenger strategy of investing to improve the product and user experience, pricing at a level that is competitive and provides value to clients, and communicating this value to grow awareness and compel DIY consumers to switch to H&R Block. We continue to utilize AI and machine learning to improve ease, speed and personalization in our product. We've also increased the prominence of online assists which provides DIY clients with on-demand access to a tax pro through chat, phone and screen sharing. This product is priced competitively and is supported by the unmatched expertise of our extensive tax pro network. And our service levels have been tremendous this season, with most clients able to access the tax pro within 1 minute. Collectively, these efforts have led to strong results in our Net Promoter Scores, increasing over 3 points. This is significant considering the 9-point increase we saw last year. And our product has received a number of third-party accolades, including number one in thestreet.com's rankings of the best online tax software and NerdWallet's best software for simple returns. While we're excited about the progress we're making in our products and in the value we're delivering for our clients, we believe we can improve both our volume and net average charge results in the second half, and have already taken the appropriate steps. First, we made changes to optimize our marketing investment to drive greater new client demand. And second, we have corrected an issue with a key online page that didn't allow clients to choose a different product, resulting in a loss of monetization. Since we have remedied the issue, we have seen a 4% improvement in net average charge in DIY. We're confident that we've made the appropriate changes and believe that our second half will be stronger. We expect to end the year growing DIY clients in line with the category. Finally, in small business, starting with tax, we've highlighted our expertise through new tools and a redesigned experience. We're beginning to see traction from these new initiatives, but believe it will take some time to increase awareness of our small business expertise. With Wave, we continue to innovate to simplify the financial lives of small business owners. During the quarter, Wave continued to make progress on its strategic road map in a number of areas. We're seeing demand grow for Wave advisers, where clients can get personalized help from our in-house bookkeepers. In payroll, we're adding full-service capabilities in more states to automatically file clients' state and federal payroll taxes. And in payments, we have made key changes to streamline the client onboarding process to assist clients in getting the right product and to gather key information earlier in the process. All of these improvements are fueling Wave's impressive performance, which continued this quarter with year-over-year revenue growth of over 40%. To summarize, we're on track to deliver our financial outlook for the year by digitally enabling our business, driving improved client trajectory in Assisted, innovating in Virtual, enhancing our award-winning DIY products and expanding in small business. We have clear visibility into areas for improvement and are focused on executing in the second half to deliver stronger results by season's end. With that, I'll now hand the call over to Tony.
Tony Bowen: Thanks, Jeff. Good afternoon, everyone. Before I get into the details of our results, as a reminder, we typically report a loss during the fiscal third quarter due to the seasonality of our tax business. Therefore, third quarter results are not representative of our full year performance. Starting with revenues. We saw a year-over-year growth of $51 million or 11% to $519 million. This increase was primarily due to higher tax preparation fees due to volume growth in Assisted and DIY and the acquisition of just over 200 franchise offices this year, which continues to be a good use of capital. The volume growth also resulted in higher royalties as well as increased revenues related to our Tax Plus products. In addition to increases in our tax business, Wave contributed $11 million, which represents a year-over-year increase of more than 40%. Turning to expense. Total operating expenses increased $65 million or 11% to $672 million. The majority of this increase was anticipated as it was driven by Wave, increased compensation due to higher Assisted volumes and planned investments related to our technology road map. We also recorded $19 million of incremental marketing expense during the quarter that was entirely due to a pull forward of recognition from Q4 to Q3 and was not due to an increase in spend. Because of this timing shift, we expect marketing expense to be lower in Q4. I'll discuss our full year outlook, including expectations for operating expenses, later in the call. Interest expense was $26 million, which reflects an increase from the prior year due to higher withdrawals on our line of credit. The changes in revenue and expenses resulted in an increase in pretax loss from continuing operations of $18 million. GAAP loss per share increased $0.08 to $0.66. As we shared last quarter, we are now reporting GAAP and non-GAAP EPS. Adjusted loss per share increased $0.07 to $0.59, driven by the increase in pretax loss and lower shares outstanding, partially offset by an increased tax benefit. As a reminder, while beneficial on a full year basis, the lower share count negatively impacts EPS in quarters in which we report a loss. In discontinued operations, there were no changes to accrued contingent liabilities related to Sand Canyon during the quarter. For additional information on Sand Canyon, please refer to disclosures in the company's reports on forms 10-K and 10-Q and other SEC filings. Regarding capital, our priorities remain unchanged. At the top of the list is maintaining adequate liquidity for our operational needs to account for our seasonality. We came into this year with a strong financial position after generating over $500 million of free cash flow in fiscal '19. We then make strategic investments back in the business that we believe deliver value to our clients, ultimately benefiting our shareholders. Making prudent investments to drive sustainable growth remains a key element of our capital allocation. Last, we will deploy excess capital through quarterly dividends and share repurchases. We've increased our quarterly dividend each in the last 4 years, resulting in a 30% increase over that time. Regarding share repurchases, in the third quarter, we repurchased 2.8 million shares for $66 million at an average price of $23.35. Year-to-date, we have repurchased a total of 10.1 million shares for $247 million, at an average price of $24.36. Going forward, we will continue to be opportunistic in our share repurchase approach. I'd now like to provide thoughts on our financial outlook for the remainder of the year. Starting with the tax industry, we continue to expect overall return growth of around 1%, with Assisted volume flat to slightly up and DIY growing around 3%. This is consistent with the trends we've seen over the last several years. For H&R Block, as Jeff shared, we expect growth in DIY clients in line with the category and an improvement in client trajectory in Assisted as we hold market share in that category. Combined, this would be the third consecutive year of overall client growth. Regarding pricing, in Assisted, we expect net average charge to remain consistent with last year following a year in which we reset price. In DIY, during the first half of the season, we saw a decrease in net average charge due to the product issue that Jeff discussed. We've remedied this and, combined with anticipated growth in online assist, we expect mix to improve in the second half, resulting in net average charge similar to last year. Consistent with the outlook we provided last quarter, we expect these client growth and net average charge expectations, along with Wave, to result in revenue growth of 1.5% to 3.5%. Turning to earnings. For the full year, we expect to grow revenue faster than EBITDA, resulting in a decline in EBITDA margin compared to fiscal '19. This year, we've realized approximately $15 million of unplanned onetime expenses -- onetime expense increases due to legal cost and refund advance fees, which will also impact our margin. Despite these expense increases, we continue to expect EBITDA margin to be within our previously provided range of 24% to 26%. Given our year-to-date results, this full year outlook incurs a significant increase in EBITDA in the fourth quarter. This will be achieved through continued revenue growth as well as a reduction of certain expenses in the fourth quarter related to the timing of marketing expense recognition that I mentioned earlier and lower compensation related to accrued bonuses. As we indicated last quarter, we expect a tax rate of 19% to 21% due to favorable settlements with tax authorities during the second quarter. The rest of our financial outlook also remains unchanged, with total depreciation and amortization of $165 million to $175 million, of which $70 million to $80 million will be amortization of intangibles related to acquisitions. This amortization expense reflects both Wave and tax office acquisitions and is excluded from EPS for non GAAP reporting. We continue to expect interest expense of $90 million to $100 million and capital expenditures of $70 million to $80 million.  To conclude, I'm confident in our plans for the second half of the tax season, and we are on track to deliver our financial objectives for the fiscal year. With that, I will now turn the call back over to Jeff.
Jeffrey Jones: Thanks, Tony. Before Q&A, I'd just like to take a moment to thank our franchisees, tax pros and associates who continue to deliver on our strategic objectives each day. Their dedication to providing help and inspiring confidence in our clients and communities is what makes H&R Block the great company it is today. Overall, I'm excited about the progress we're making toward our long-term goals, and I'm confident we're taking the steps necessary to deliver on our objectives for the fiscal year. I look forward to sharing more with you when we report our full year results in June. With that, we'll now open the line for questions. Operator?
Operator: [Operator Instructions]. First question comes from the line of Kartik Mehta of Northcoast Research.
Kartik Mehta: Jeff and Tony, I apologize for the background noise, if you're hearing any. But I wanted to ask, Jeff, a little bit about the net average charge, at least on the retail side, and what do you think might drive that in the second half, especially for the company-owned operations?
Jeffrey Jones: If I heard you right, you're talking about NAC in retail, in Company, in the second half? Did I get that right?
Kartik Mehta: You did, Jeff. I apologize for all that noise.
Jeffrey Jones: That's all right. So every year, when we look at our pricing, and it was no different this year coming off our reset, we've made a few little tweaks around the edges to where our pricing model was, knowing that over the course of the year, flat NAC was the goal. We see that playing out a little bit in the company offices in the first half, but we are confident we'll be back to flat NAC in the second half. And franchisees, as you know, they have adopted our model, they get to make their own pricing decisions. So you're seeing a little different movement with franchisees, and that explains the difference.
Kartik Mehta: And then, Jeff, just as a follow-up, I was wondering if you could just talk about your work on Virtual tax products, what the demand has been like for both of them? And what you would anticipate for the rest of the season?
Jeffrey Jones: Yes. So on Virtual, remember, we have 3 products in Virtual, Tax Pro Go, Tax Pro Review and Online Assist. And when you put all those together, this is obviously a really new idea in the market where we're able to take the network of tax pros at a digital layer and enable people access to help on their terms. All 3 products are showing significant growth over last year, albeit on small bases. But the things that we're paying close attention to that we're very excited about are our service delivery. So I highlighted in my prepared remarks, with Online Assist, clients are able to access a tax pro in about 1 minute, so we know delivering really quick answers to questions is important. We're seeing very strong client satisfaction scores in each product. And importantly, and each one is a little bit different, but we're seeing anywhere from 30% to 50-plus percent of new clients choosing those products to the brand. So digital product innovation, early in its life cycle, but a lot of really good signs that we're fulfilling an unmet need.
Operator: Next question comes from the line of George Tong of Goldman Sachs.
George Tong: So earlier, Intuit announced its intention to acquire Credit Karma. Can you discuss how you expect this to impact the industry and competitive background, for the positive or the negative, and changes to your internal strategy in response to this consolidation?
Jeffrey Jones: George, it's Jeff. So as we continue to transform H&R Block, the competitive landscape will, obviously, be very dynamic. And we pay close attention to what our competitors do. There are two good competitors, independently, obviously, but we are way more focused on executing our own strategy and serving our own clients. And it's -- we don't really know how the proposed merger will play out. So beyond that, it's too early to really speculate on what exactly they may do.
George Tong: Got it. That's helpful. Earlier, you had indicated that you're making appropriate changes in DIY, such that the second half will grow faster, and it should grow in line with the category by year-end. Can you discuss how your expected performance with market share in DIY has evolved, if any, if you had previously expected market share gains in the category and are now looking for in-line performance with the industry?
Tony Bowen: Yes, George, Tony, I'll take this one. So at the beginning of the year, we shared that we expected to outpace the category in DIY, which we had done in each of the 3 previous years. We did have a little bit of a stumble at the beginning of the year. We made a couple of adjustments, as Jeff alluded to in his opening comments. Those have been put in place. We're starting to see performance improve, which will result in us holding share with the category by the end.
Operator: Next question comes from the line of Scott Schneeberger from Oppenheimer.
Scott Schneeberger: Following up on that last question. Could you just elaborate a little bit more on what the snafu was in DIY? And how long there was an issue before you made the adjustments? Just to get a feel for what type of impact that was.
Jeffrey Jones: Yes, Scott, this is Jeff. So there were 2 things. One was in the product flow in DIY, when the consumer is going through the flow, if we recognize that they would be better served in a different product, we offer them that choice for upgrade. And we had a technical glitch in that form that was preventing that from happening. We caught it quickly, but every hour and every day matters, especially in the early part of the season. So once we got that back on track, as I mentioned, we've seen NAC changing, growing about 4% since the change. That was one thing. And the second thing was marketing dollar allocation within what we call the performing -- the performance marketing channels. And we had allocated some dollars to a channel that weren't working as well. And we recognize that and we immediately shifted those dollars, and we see the changes happening from that. But those were 2 things on top of each other that definitely got us off to a slower start than we wanted at the beginning of the year.
Scott Schneeberger: All right. I guess, as my follow-up, on -- I missed the number on how many franchise is converted and if you could share that again, and then discuss what type of impact that will have on revenue growth on a year-over-year basis over the full season.
Jeffrey Jones: Yes. So I'll talk about it first and Tony may chime in, too, but it was about a couple of hundred locations, just, I think, about 205, which was definitely more than last year. You know every year, we look at the footprint, what are we relocating, is there an opportunity in a market to buy back, is there a franchisee that wants to sell. The combination of all those things resulted in more this year than last year. And I believe it was about a $40 million increase in revenue as a result of that incremental buyback.
Operator: Next question comes from the line of Jeff Goldstein of Morgan Stanley.
Jeffrey Goldstein: Can you talk about the makeup so far of what you're seeing in your Assisted customer base? For instance, are you seeing more returning customers or new customers than you were expecting? Or anything around the customer demographics, for instance, more or less itemizers than maybe you saw last year? Just any more color there would be helpful.
Jeffrey Jones: Yes. So this is Jeff. I'll kick this off again. So several reasons why we're feeling good about our continued improvement in the Assisted business. Obviously, this is several years in a row now we're continuing to improve performance. And I think there's a couple of things I would highlight. One is the focus on price transparency, in operational excellence, and what we did last year, we saw really big improvements in client satisfaction. We thought that, that would translate into retention this year. Retention is obviously tricky at this point in the year to call because of the dynamics of filing sooner or later and pull forwards and different things, but we think we're seeing some retention gains year-to-date, and we'll summarize that once we get through the year's end. In terms of demographics, about 50% of all of our new clients to Assisted our millennials. We see great new client acquisition coming through our Virtual products, Tax Pro Review and Tax Pro Go count as Assisted volume, as you may recall. And so from that standpoint, we see some changes in the composition. Last year, in the second half, we saw a really nice improvement in new client acquisition. And that's why we're confident as we get into the second half of this season, we'll continue to build that momentum. Not sure if -- anything else you'd add there?
Jeffrey Goldstein: Okay. Then I guess the next one for me then was just any impact to your business that we should be thinking about from the coronavirus? I'd imagine it's not much, but could this possibly drive more of a shift to DIY from Assisted? So just anything to call out.
Jeffrey Jones: Yes, it's a great question. Obviously, this is a really, really dynamic topic. We're following it closely. We've been in contact with many other U.S. retailers that have physical footprints. We're communicating with our associates. We're following all of the CDC recommended approaches. At this point, we haven't seen any impact to the business. We will continue to remind clients of the variety of ways that they can engage with H&R Block, Drop-Off, Tax Pro Go, et cetera. But we're following it closely, and we'll respond as we need to as things unfold.
Operator: Next question comes from the line of Jeff Silber of BMO Capital Markets.
Jeffrey Silber: In your prepared remarks, you talked about a pull forward of marketing from the 4Q into 3Q. I don't know if you gave out the number, if you can give us the number, that would be great. If you could explain exactly what that was for, that would be helpful as well.
Tony Bowen: Jeff, this is Tony. So that was related to how we're recognizing marketing expenses, and it was about $19 million, and it was a movement from what would have been reported in Q4 that was recorded in Q3. And as a result, we'll have lower marketing expenses in Q4. It was not due to a change in overall spend, it was purely due to how we're recognizing some online marketing expenses and those being more recognized in Q3.
Jeffrey Silber: Okay. Great. And if I remember correctly, there was also going to be a planned roll-off of a marketing promotion, I think was called Send a Friend, that you might thought would help your fourth quarter EBITDA dollars as well. Is that also still the plan?
Tony Bowen: It is. There are some that we recorded in Q4 last year. You remember correctly that, that will be a roll-off this year. The other thing that's to roll off in Q4 are some bonus accruals that we had last year in the quarter that we don't expect to recur this year. So that's why we think EBITDA dollars will be really strong going into the fourth quarter.
Operator: Next question comes from the line of Hamzah Mazari of Jefferies.
Mario Cortellacci: This is Mario Cortellacci, filling in for Hamzah. Could you just update us on Wave and any of the work that's been in the quarter with the API? Has any more progress being made? Or is there anything else to call out regarding the API?
Jeffrey Jones: Mario, It's Jeff. Absolutely. A lot of things to comment on. Just real quickly, the Shopify integration we talked about last quarter, it's too soon to call any meaningful changes to that. But obviously, that decision really has a lot of potential benefit for small business owners that have e-commerce businesses, et cetera. But if I just take a step back from that, the team continues to make improvements across the board in their product offering. I commented on Wave advisers, which is a great way that small business owners can get live help as they struggle or have questions with their bookkeeping on top of the Wave app, adding more states in the payroll business, getting smarter about flows and how we onboarded people into payments. So really, a number of things happening in the core business. This year, we took some minor steps in terms of the Block integration with Wave. For example, for the first time, we built a site on hrblock.com about our small business offering and incorporated Wave. We've done some light e-mail marketing regarding Tax Pro Go to Wave clients, things that we thought this year were just simple, easy additions as we work toward a much different level of integration for fiscal '21.
Mario Cortellacci: I got you. I appreciate it. And then just kind of a follow-up on the coronavirus question. Just could you remind us if -- there is a larger-than-normal shift to digital or to DIY just this year, and I'm assuming that that's how long it lasts, I'm assuming that it is much larger throughout the coming months, could you just give us a sense for what the revenue or margin impact could be just from an outsized shift in 1 year?
Tony Bowen: Yes. Mario, this is Tony. I mean, the way I would think about it is probably on a net average charge basis. So net average charge in Assisted is $200 and change, and DIY is around $35, on average. So obviously, it's a significant revenue change. Margin percentage on DIY is higher, but margin dollar is obviously much, much lower, given the lower net average charge. The other thing I would say is customers typically don't switch that quickly for issues like that. I think people do it based more on their confidence. And obviously, I think there would have to be a lot of attenuating circumstances to cause clients to completely switch how they file their taxes based on that. And it's my personal speculation, but if that were to happen in something that significant, there may be changes in -- of the IRS extending the tax season or other things that would ultimately play out. So it's, obviously, impossible to speculate. At this point, as Jeff said, we're not seeing anything abnormal. We aren't hearing anything about changes to the tax season, and we aren't seeing any change in client behavior as a result.
Operator: Next question comes from the line of Alex Paris of Barrington Research.
Huang Howe: This is Chris Howe sitting in for Alex. First question, I know it's still early, and you talked about it briefly on another question in regard to retention, but if we take the market share gains you made in the last tax season and kind of broke apart that sub piece or that part, anything you can tell so far in this tax season as to their customer behavior and their ability to upgrade and increase their value?
Tony Bowen: Yes. I mean, I don't know if I completely follow the question. I think it's around growth that we had last year and maybe the growth that we did see, what the kind of retention of those clients would be. It's a little bit hard to answer in that kind of bucket. There's, obviously, a lot of fungibility in clients on a year-over-year basis, every single year. As Jeff said, we're seeing nice retention gains in both Assisted and DIY at the early part of the season. We typically like to measure retention on a full year basis because early season, we know we've got pull forward this year because of the delay in the tax season last year where we had the government shutdown and other things going on. So we're seeing clients come in earlier. So you always want to measure retention at the early part of the season with a grain of salt. Once we get to the end of the year, we'll obviously provide more data to you guys on what we're seeing for the full year.
Huang Howe: Okay. That's helpful. And just going back to the technical glitch that you saw on the product. These customers who were unable to upgrade, they were lost or they chose a product set with a lower NAC?
Jeffrey Jones: The latter. They were not lost, they just chose a product that was of lower NAC.
Tony Bowen: And it directly impacted net average charge for the first part of the season, which is why we wanted to highlight it.
Operator: Next question comes from the line of Michael Millman of Millman Research Associates.
Michael Millman: Two questions. First, could you give -- so the IRS, as you know, reported today that they were down 2.2% in Assisted, could you give us your comparable numbers? In other words, day-to-day and also exclude the extensions. And my other question is on the Credit Karma deal and to its paying about 1.5x the total value of all H&R Block leased to market value, are they saying what we see in the future as money is going to be made by offering our clientele to marketers? Which is something you tried in the past and didn't work, and therefore, we're willing to spend a lot of money and give away the returns.
Tony Bowen: And Michael, I'll take the first one on kind of what the IRS reported today. And as you said, I think that literally came out 20 minutes ago, so I unfortunately don't have an apples-to-apples comparison. But what I will say, and I don't think the results have probably changed that much, is when we look at, on a comparable basis for data they reported a week or so ago, we were down slightly in share in the Assisted category compared to the IRS on a comparable basis. And that's why we believe we're going to do better in the second half. You may remember that we did fairly well in the second half last year. We also had our price reductions for the reset we did last year, rolling out upfront transparent pricing that were more targeted towards second half filers. We've also had really strong client satisfaction scores in the second half of last year. So just a lot of things that we think are going to be a nice tailwind going in the second half that's going to allow us to achieve category share for the full tax season. I don't know, Jeff, if you want to comment on Credit Karma?
Jeffrey Jones: Well, I mean, just building on what I said earlier, I mean, who knows? It's hard to say what the competition's thinking by the decisions they're making. And we're not really going to comment on what they may or may not be thinking, we're just focused on serving our own clients.
Operator: I am showing no further questions at this time. I would like to turn it back to Mr. Colby Brown for any further comments.
Colby Brown: Thanks, Anne, and thanks again, everyone, for joining. This concludes today's call.
Operator: Thank you, presenters. Ladies and gentlemen, this concludes today's conference. Thank you for participating, and have a wonderful day. You may all disconnect.